Operator: Good day, ladies and gentlemen. Welcome to Noah Holdings Limited First Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, there will be a Q&A session. During the Q&A session, we ask that you please limit yourselves to two questions and one follow-up, so that we may have further participation. If you would like to ask further questions, you may reenter the queue to do so. As a reminder, this conference is being recorded. Joining the conference today are Ms. Jingbo Wang, Co-Founder, Chairwoman and CEO; and Ms. Theresa Teng, the company’s CFO. After the close of the U.S. market on Monday, Noah issued a press release announcing its first quarter 2014 financial results, which is available on the company’s IR webpage at ir.noahwm.com. This call is also being webcast live and will be available for replay purposes on the company’s website. I would like to call your attention to the Safe Harbor statements in connection with today’s call. The company will make forward-looking statements, including those with respect to expected future operating results and expansion of its business. Please refer to the risk factors inherent in the company’s business and that had been filed with the SEC. Actual results can be materially different from any forward-looking statements the company makes today. Noah Holdings Limited does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under the applicable laws. The results announced today are unaudited and subject to adjustments in connection with the completion of the company’s audit. Additionally, certain non-GAAP measures will be used in our financial discussion. A reconciliation of GAAP and non-GAAP financial results can be found in the earnings press release posted on the company’s website. I would now like to hand the call over to Ms. Wang. She will be speaking in Chinese and Ms. Jing Ou-Yang, the company’s IR Director, will translate her statement into English. Ms. Wang, please go ahead.
Jingbo Wang: [Foreign Language – Chinese] Thank you, operator, and thank you all for joining us today. Today, I will begin the call by briefly reviewing our performance in the first quarter of 2014, and discuss about the progress of corporate strategy in the year 2014. Afterwards, Theresa will discuss in detail of our first quarter financials and operating results. We will be happy to take your questions after that. Historically, first quarter tends to be weaker due to seasonality. This year, benefiting from continuous optimization of business model and development of operational efficiency in the past two years, our business maintained strong growth momentum in 2013. The overall performance in the quarter exceeded our expectations. Both transaction value and net revenues reached historical highs in the quarter. We achieved transaction value of RMB 14.97 billion, a 73% increase year-over-year. Net revenues reached US$50.3 million, a 54.1% increase compared to last year. Non-GAAP net income was US$18.1 million, increased 68% year-over-year. For the quarter, we distributed financial products to 3,258 active clients, increased 83.2% compared to the same quarter last year. We’re glad to see the momentum to continue. Our brand is more recognized by our customers and our asset management capabilities with further enhancements through obtaining underlying assets, product innovations, risk control and active fund management. Currently, we provide asset management products which cause economic cycle issued in multi-currencies, invested in different geological areas and different kind of assets. By the end of first quarter, Gopher’s AUM reached RMB 38.28 billion, approximately US$6.28 billion. Gopher Asset launched USD private equity fund-of-funds and PE customized products, which were all appreciated by our customers. In the first quarter, three Gopher entities focused on PE Equity Funds, Hedge Funds and Real Estate Funds successfully completed the registration with Asset Management Association of China, and each received a private investment fund manager registration certification from AMAC. In addition, Gopher has dramatically established its professional team and IT systems. Along with building of its investment performance, Gopher was more and more recognized by institutional investors. We believe that both, quality and quantity of institutional investors of Gopher Assets will increase in 2014. In terms of wealth management and distribution business, we further enhanced our regional management structure and the elite program of relationship managers, through more training to improve the professionalism and customer service capability of relationship manager. All six regions were profitable in the first quarter. Average productivity of relationship managers increased 50% compared to last year. The turnover rate of our top relationship manager was little in the quarter. We also launched the projects to optimize and improve customer experience during the first quarter. We received customer feedbacks to us, to focus on the sweet spot [ph] of customer experience with us to continually optimize and influence business model. We believe this influence will bring long-time and sustainable growth to us. In the first quarter, we faced the adjustment of real estate market and slowing down of Chinese economy. We further strengthened our both investment management system and teams. We also completed an overall performance review of our existing products for our continued focus on risk management and improvement of risk control capability, the overall portfolio performance is satisfied. In 2014, we launched more secondary market products in our product pipeline. Also from asset allocation perspective, we added multi-asset fund in both, primary and secondary markets of our customers. Supply chain asset-backed securitization and consumer credit related asset-backed securitization are one of our current focuses of our underlying assets. In terms of real estate funds, we keep to cooperate with top real estate developers and launch real estate equity funds, which is the long-term and causing the economic cycle. For private equity funds, we’re optimistic about the development of medical and TMT industry, and we’ll continue to launch PE products which are invested in those industries. I would like to highlight that China Securities Regulatory Committee opened up the blockade of IPO. Our customers who purchased PE products previously will receive relatively good return on them. In the first quarter, we also launched money market products with return higher than bank time deposits to help institutional clients to manage their cash flow. In the first quarter, Noah Hong Kong as a platform to design and reflect oversee financial product, provided excellent product to serve Noah customers’ asset allocation needs out of China. Fixed income products, cash management products and PE fund-of-funds, which joined the launch with Gopher Assets were all highly appreciated by our customers. Total transaction value of our Hong Kong office reached RM 360 million and remained profitable in the first quarter. Hong Kong team has successfully improved its capability in product innovation, marketing and customer service. It was awarded by iFAST as the Best New Wealth Management Institution in the first quarter. I would like to discuss about some of our new business we started in year 2013, including our micro-lending and insurance brokerage business. As of the end of first quarter, our micro-lending business provided short-term financing for 291 customers. Total loan amount exceeds RMB 600 million. Average maturity was 33 days. Average loan amount per person was RMB 2.33 million. All of the loans were collateralized without any past due or defaults. Our insurance brokerage business, Noah Glory [ph], is well positioned to provide comprehensive insurance plan for high net worth clients. Even though our global medical insurance product was launched not too long ago, it has provided high-end medical insurance for 224 customers. We’re confident that this business will continue to grow. In terms of customer service, we have continually executed our corporate strategy to fence the relationship with our customers and products suppliers. With the rest of trending down of real estate market, we cooperated again with Wharton Business School in March. Invited senior management of large real estate companies in China, some of our clients who purchased real estate fund products and the real estate team member of Gopher to real estate financial programs in the West Coast of America, helping through the program have our customer further understand the potential risk of the real estate market and help them to understand our real estate financial products. We continue to explore business model in internet financing. In the first quarter, we jointly invested with Sequoia Capital China and Lightspeed China Partners in PPDAI Group, the first established P2P internet lending company in China. The business model of PPDAI is completely executed on the internet, which represented the future of P2P business. It is a breakthrough of traditional financial business with meaningful experience in cost saving and efficiency improvements. In year 2014, we will strive to provide higher quality comprehensive financial service to our customers and maintain our asset line. As our Gopher Asset management capability continues to develop, we will offer global asset allocation service to high net worth clients in China and Chinese people leaving overseas with the best financial products and services. At last, I would like to discuss about overall financial environment and regulatory changes. The progress of interest localization in China move forward rapidly. As the internet financing is developing, the regulatory authorities is encouraging financial innovations and concerns about potential risk at the same time. They are looking forward to the regulated and an innovated new financial institutions to come to the markets. We also see the asset management industry is continuing to reform. For example, recent private investment fund managers registration certificate given by Asset Management Association of China, an individual who can be the issuer of mutual fund products now. Noah is well prepared to the further reformation of the markets. We believe that asset and wealth management business is fundraising industry is China and have great potential to grow. According to McKinsey’s estimation, the industry of private wealth management will enter into go detail and maintain double-digit growth in the next five years. Our well established brand team and core capability of seeking high-quality underlying assets and risk management, recognition of our customers and regulatory authorities, all together will ensure our long-term and sustainable development. With that, I will ask Theresa to share with you our financial and operating metrics of first quarter 2014. Thank you.
Theresa Teng: Thank you, Madam Wang, and good morning to everyone or evening to everyone. We had a strong and better than expected first quarter to start the year of 2014. Thanks for the continuous business expansion and our broader product mix. The overall quarterly performance includes transaction values, net revenue and net income, all reaching to new highs. Transaction value of the first quarter was RMB 14.97 billion, approximately US$2.5 billion, increased 72.6% year-over-year. Net revenue was US$50.3 million, which increased 54.1% from the first quarter last year. Non-GAAP net income also grew 68.4% to US$18.1 million for the quarter. Total net revenue for the quarter reached US$50.3 million. This is the new high of the quarterly revenue the company has ever achieved. Revenue growth was driven by strong sales volumes with quarterly transaction value of US$2.5 billion, and increasing recurring revenue. Fixed income products represented 74% of overall transaction value, about the same level as last year’s same period, reflecting continued client risk aversions and preference. As we mentioned in the previous earnings call, third-party trust products have contributed quite limited of our total transaction value. For the quarter of 2014, third-party trust product distribution accounted about 9% of total transaction values, compared to about 13% in the first quarter of last year. The effective one-time commission rate for this quarter was 0.8% slightly lower than that of fourth quarter due to the change of product mix. This receives both, one-time commission and management fee and with the increase of our recurring revenue, we actually received higher revenues for the whole lifecycle of the product. I would like to again clarify the increasing related party revenue, which represented 55.4% of our total revenue in this quarter, compared to 45.1% in the corresponding period of 2013. This increase is primarily due to increase in products purchased by clients that are managed by our own asset management plans. Gopher, as we mentioned earlier, our asset management has been growing significantly. It is currently managed at about US$6.3 billion, up from US$5 billion in the previous quarter. Recurring revenue was 61.5% of fourth quarter revenue, further increase from the previous quarter of 55.9%, well representing our increasing client loyalty and growth of our asset management business. The recurring revenue was generated by our growing asset management business, PE products we distributed previously. With the growth of our asset management business, we believe our recurring revenue will continue to represent the majority of our revenue for the rest of the year 2014. Total registered clients by the end of first quarter was 55,519, increased 30.4% in 2013. We again set a record in our active clients this quarter, 3,258, increased 83.2% from 1,778 a year ago. Profitability improved on a year-over-year basis, reflecting economies to scale [ph] as revenues surge. Operating margin improved to almost 41.2%, up from 39.9% a year ago. While non-GAAP net margin reached 36% compared to 32.9% a year ago. As a result, quarterly non-GAAP net income achieved US$18.1 million, a 68.4% increase from the corresponding period in 2013. We will continue to focus on delivering profitability growth in 2014. Our balance sheet remains solid and liquid. The combined amount of cash, short-term and long-term investment was about US$225 million, compared to US$2,038 million last year. Cash expenditure in the first quarter includes cash investments on PPDAI, the internet P2P business, and employee annual bonus of 2013 paid in the first quarter of 2014. A negative operating cash flow was mainly due to our increase in accounts receivable since we had a better than expected fourth quarter – last year first quarter revenue and the first quarter of this year, and also the bonus paid for 2013. Most of the accounts receivables are still within the credit period. Our account receivable turnover days further decreased to 49 days in the first quarter, compared to 53 days in the fourth quarter. Shorten of AR turnover days, reflects the continuous improvement in our operating efficiency. Looking to the future, we expect our strategic plan will in turn result in more predictable recurring revenue and stable profitability stream to reflect strong fundamental in our business. We would like to reiterate our 2014 guidance of non-GAAP net income to be between US$72 million to US$76 million. The range represents growth of about 27% to 34% on a year-over-year basis. With that, Madam Wang and I will be happy to take questions that you may have.
Operator: Thank you. Thank you. We will now begin the question-and-answer session. (Operator Instructions) At this time, we will pause momentarily to assemble our roster. The first question will come from Ella Ji of Oppenheimer. Please go ahead.
Ella Ji – Oppenheimer & Co: Good morning, everyone. Congratulations on the strong quarter. I want to discuss with you further regarding the impact from the slowdown of the real estate market recently. Could you comment, within your pipeline, are you seeing any changes from the developers? And also are you seeing any changes from your high net worth clients in terms of their interest in this type of product?
Jingbo Wang: [Foreign Language – Chinese] Yes, we have seen the slowing down of the Chinese real estate market. From the past, we have been very carefully selecting the top real estate developers as our counterparties, and also being very carefully selecting the cities or areas that the project that is going to build in. From our perspective, it’s the banks tightened the loan or financing to the real estate developers. It will increase our bargaining power with our counterparties. But again, we will be more careful in selecting projects and counterparties in the future. In the first quarter and second quarter, we will have some real estate project that will be close to the excess timing or the time to settle the investment. Up to now, we see everything is very healthy. Currently, our pipeline of product is still up to the next six months.
Ella Ji – Oppenheimer & Co: Thank you. If I can follow-on one more question. Regarding your commission rate for your one-time commissions revenue, I noticed that there was a decline from your prior year level. Can you explain that for me? Thank you.
Theresa Teng: Yes. Ella, I’m happy with the question. As I mentioned in my remarks, the number one, because we have more diversified product mix to provide it, and also that we have more portion of recurring parts. So for the whole product life, we actually – the revenue is actually increasing. Ella?
Ella Ji – Oppenheimer & Co: Yes, sure. So, Theresa, could you just further explain what type of products are you now having lower sales commission rate comparing to your historical level?
Theresa Teng: For example, if we provide longer periods – end of the longer period, you may receive a little bit higher one-time commission rate for, let’s say, half year or shorter period you may receive comparably lower. That’s one of the reason. And another one is when the overall life of the product, if we can negotiate a better recurring rates, then we may reduce a little on the upfront commission rates.
Ella Ji – Oppenheimer & Co: Okay, got it. Thank you.
Theresa Teng: You’re welcome.
Operator: (Operator Instructions) The next question will come from Michael Li of Bank of America Merrill Lynch. Please go ahead.
Michael Li – Bank of America Merrill Lynch: [Foreign Language – Chinese]
Jing Ou-Yang: The question again is regarding about the one-time commission rate for the one-time commission revenue. My first question is regarding about the duration of fixed income products. He is asking if the duration of fixed income has shortened in this quarter. And if that’s the case, what’s the percentage of the shorter duration?
Theresa Teng: Hi, Michael. I’m happy with your question. Actually for the fixed income product, the duration is about in line with the previous number. It’s around two years. And the reason why, because of the product mix change may contribute most of the reason, because we add more color – we add more variety of the products. So for some product, they may have a higher recurring fee or long recurring period. So that’s the reason why, it’s not because the duration changes for the fixed income part. Michael?
Michael Li – Bank of America Merrill Lynch: [Foreign Language – Chinese].
Operator: (Operator Instructions) This will conclude our – we do have any another question from Rajen Patel [ph] of Morgan Stanley. Please go ahead. And he has disconnected. (Operator Instructions) Our next question is from John Chang [ph], a private investor. Please go ahead. Mr. Chang [ph], your line is open. Your phone maybe on mute. I am sorry Mr. Chang [ph], we are not able to hear you. The next question will be a follow-up from Ella Ji of Oppenheimer.
Ella Ji – Oppenheimer & Co: Okay. So I have more questions. First, number of active clients this quarter is record high, and congratulations on that. Could you explain for us where are those new customers come from? Are they from your existing branches or from your newly entered markets?
Theresa Teng: Hi Ella.
Ella Ji – Oppenheimer & Co: Hi Theresa.
Theresa Teng: Hi. I’m happy with the questions. And for the active this quarter, around 30% came from previous quarter. Actually this is very high number of our repetitive client order. And the remaining will be some of the inactive quarter for last quarter and also some new customers. That’s pretty much the mix of our active client this quarter.
Ella Ji – Oppenheimer & Co: Okay. So most of them are still from your existing client pool, can I say that?
Theresa Teng: No. Around 30% are from last quarter, and then the rest of it are inactive in the past quarter or new clients.
Ella Ji – Oppenheimer & Co: Okay, got it.
Theresa Teng: Because we also have an increased registered number this quarter compared to last.
Ella Ji – Oppenheimer & Co: Yes, okay. And then next question is regarding your investments in the internet finance company, PPDAI. I want to – can you talk about, in addition to this equity investment, is there anything that you think you can achieve with them going forward to help with your online business? Any thoughts would be very helpful. Thank you.
Jingbo Wang: [Foreign Language – Chinese] We believe for the current P2P business in China, they don’t lack of investors. What they are lacking of is, good quality debtors. So that is what we are having in Noah here. Our high net worth individual who purchased financial products with us. For example, if they would like to – 20% of them, if they would like to collateralize with the financial product they purchase with us to borrow short-term loans that will be a good source of high quality debtors for P2P business. We think there is a greater amount of synergy that we can learn from PPDAI regarding about online credit system and big database analysis.
Ella Ji – Oppenheimer & Co: Thank you.
Operator: The next question will come from Kevin Gal [ph], a private investor. Please go ahead.
Kevin Gal [ph] – Private Investor: Yes, this is Kevin Gal [ph]. I just have a question. Recently actually just last week, the Chinese government just announced new policy that may impact the stock market in China. So how is that going to impact Noah’s business overall?
Jingbo Wang: [Foreign Language – Chinese] We think it’s very positive for Noah, as we see the Chinese government is very support and push forward the development of secondary market. We added a lot of secondary market products into our pipeline this year. And also you probably know they have announced several list of names of companies who is on the pipeline to go IPO on the Chinese market. And every time when they announce, several of our projects that investors’ buy the PE funds that we did fundraising for has been included. So overall, we believe that is very positive news for us. So in the Number Nine Document, the government also mentioned about private equity manager license who we mentioned in our earlier remarks that three subsidiaries of our Gopher Asset has received our license for PE managers. I think it will be a great help for us in terms of cost saving and we’re working really hard to have IT systems ready so that Gopher subsidiaries can issue PE products without relying on any other financial institutions. Hello Kevin?
Kevin Gal [ph] – Private Investor: Yes, thank you very much. If I have a follow-up question, if I may, any news about stock repurchasing or the status of it?
Theresa Teng: Hi Kevin [ph], this is Theresa. I’m happy with that question. Actually our stock repurchasing program is still ongoing and the total amount is remain [indiscernible] and that’s the plan we see ongoing.
Kevin Gal [ph] – Private Investor: Thank you.
Theresa Teng: Thank you.
Operator: The next question will come from John Chang [ph], a private investor. Please go ahead.
John Chang [ph] – Private Investor: [Foreign Language – Chinese]
Jing Ou-Yang: The question is regarding about real estate product. How much real estate product contributed for our total transaction value? In year 2011, it was 41% according to our 20-F Report. And for 2012, it was 53% as 64% in year 2014. So the gentlemen would like to know, what is the percentage of real estate related products will contribute for year 2014? And what’s the trends going to be like?
Jingbo Wang: [Foreign Language – Chinese] Okay. So from our perspective, that real estate is very important type of asset for the overall asset allocation service. And we have the professional team to do that. Actually we do not have exactly as to how much real estate will contribute in year 2014. We’ll be more focusing on the area and underlying asset quality, but what we can tell you is for the first quarter of 2014, real estate contributed about 60% of our total transaction value. We don’t have an exact plan of how much or how many projects in real estate will contribute in 2014. The total amount of real estate fund will still be relatively large in year 2014. In the second and third quarter, we’ll see – we still see a lot of corporate opportunities with good real estate developers such as Tianjin [ph].
John Chang [ph] – Private Investor: [Foreign Language – Chinese]
Jing Ou-Yang: The question is, if one of the real estate projects has any potential default and/or situation that they have to lower their selling price, what’s the impact on Noah?
Jingbo Wang: [Foreign Language – Chinese] We really have to look into the exact term and conditions of the investment contract for the time-related real estate investment with land as a collateral. Maybe at some point touching price is a good way to give guarantee payments or guaranteed principal to our investors but for equity-related products, we really have to see what the situation look like for the exact projects. Some of the investments or projects we have, has a very long-term, for example, plus two years. So for those kind of products, we have to see the exactly situation in that particular area.
Theresa Teng: Mr. Chang [ph], this is Theresa. I would like to add more information for you to your question. And for RE-related industry, since as we mentioned earlier, majority of our product mix will be fixed income related. And this quarter we had around 74%. So for the majority of the 60% you mentioned for the real estate industry, actually the majority will be that equity. And for that we have a very strict risk control and a higher requirement of collateral. As our CEO just mentioned for that kind of debt products, we are quite comfortable if the scenario happen as you mentioned earlier and the actually exposure for equity portion actually present are lower than 60%.
John Chang [ph] – Private Investor: [Foreign Language – Chinese]
Jing Ou-Yang: The question is regarding about the percentage between residential and commercial buildings of our real estate products and also the area contribution. So for us, most of our products are focusing on first and second-tier cities. For example like [indiscernible] and also all of our products are focusing on residential houses, 60 to 90 square meter apartment. We only work with real estate developers with market cap of above RMB 50 million.
Jingbo Wang: Billion.
Jing Ou-Yang: Billion, yes.
Operator: And ladies and gentlemen, this will conclude the question-and-answer session. I would like to turn the conference back over to Madam Chairwoman for her closing remarks.
Jing Ou-Yang: Thank you everyone for joining us today. We look forward to update you about our second quarter result in August.